Operator: Greetings and welcome to the T2 Biosystems’ Third Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Matt Clawson of Pure Communications. Thank you, Mr. Clawson. You may now begin.
Matt Clawson: Thank you, Operator. Good afternoon everyone and thanks for joining us for T2 Biosystems’ first results call. On the call this afternoon to discuss results and operational milestones for the third quarter ended September 30, 2014, are President and CEO, John McDonough; Chief Financial Officer, Marc Jones; and Tom Lowery, Chief Scientific Officer. John and Marc will lead off the call with some prepared remarks followed by a question-and-answer period. I’d like to remind everyone that comments made by management in responses to questions today will include forward-looking statements. Those include statements related to T2 Biosystems’ future financial and operating results and plans for developing and marketing new products. forward-looking statements are based on estimates and assumptions as of today and are subject to risks and uncertainties that may cause results to differ materially from those expressed or implied by those statements including the risks and uncertainties described in T2 Biosystems’ filings with the SEC, the Risk Factors section and its registration statement on Form S1 as well as other risks and uncertainties detailed in subsequent SEC filings. The Company undertakes no obligation to publicly update or revise any forward-looking statements except as required by law. And with that, I’d like to turn the call over to CEO, John McDonough for his opening comments. Good afternoon John.
John McDonough: Thanks Matt. Good afternoon everyone. Thank you for taking the time to join us for our call today. The months leading up to and since our initial public offering, which priced in August, have been incredibly active and we’ve made a lot progress within the Company. So, I’ve been looking forward to this opportunity to update you on that activity and how we see the Company progressing through the coming months and years. However, since this is our first call, I am going to take a couple of minutes to describe a few fundamental elements that we believe differentiate T2 Biosystems from other companies and our technology from anything else available. Most of you on this call are relatively new investors. So I thought it would be helpful to briefly restate the basic elements that will drive commercial, clinical and financial value over the long term. At T2 Biosystems, we are developing and commercializing medical diagnostic products based on our proprietary T2MR platform, that, for the first time enables detection of targets and pathogens directly in the clinical sample, such as whole blood. By eliminating sample preparation steps, such as extraction and purification, our T2MR platform provides detection at cell limits as low as one colony forming unit per ml, a breakthrough in the industry as demonstrated in our FDA pivotal trial. Our strategy is to develop a broad set of applications aimed at lowering mortality rates, improving patient outcomes and reducing the cost of healthcare, by allowing targeted treatment decisions to be made earlier based on fast and accurate diagnostics. We believe there are dozens of applications of the T2MR technology, some of which we'll pursue directly and others through select partners. We are initially focused on the area of sepsis, one of the leading causes of death in the United States, and the most expensive hospital treated condition with cost of the U.S. healthcare system exceeding $20 billion each year. Sepsis is an illness in which the body has a severe inflammatory response to a bacterial or fungal infection. It is a life threatening condition that can lead to shock and organ failure with a mortality rate of approximately 30%. T2MR, for the first time, enables the detection of pathogens associated with sepsis without the need for blood culture in very low limits of detection. Our first FDA cleared products of the T2Dx instruments and the T2Candida diagnostic panel. T2Candida identifies the clinically relevant species of Candida, a fungal pathogen known to cause sepsis. Candida infections have the highest mortality rate of all the sepsis pathogens, averaging 40%. Published literatures demonstrated that the initiation of targeted therapy to infected patients within 12 hours can reduce that mortality rate to 11% and save approximately $30,000 per patient, driven by a reduction in the length of stay on the hospital and the intensive care unit. T2Candida runs on the T2Dx instrument, a fully automated instrument that processes a blood sample and provides results in three to five hours. We believe we have the only product that can provide species specific results without the need for blood culture. Blood culture based diagnostics the current standard of care can take three to six or more days, to provide species specific results. There are over 100 drugs available today to treat patients with sepsis. But waiting days for a diagnosis is often too long for a patient to benefit from those treatments. Due to the high mortality rate in cost of Candida infections many hospitals initiate potentially inappropriate antifungal drugs or waiting for blood culture based diagnostic results. The high risk patient such as patients in the intensive care unit and patients with weaker immune systems or chronic illnesses, this practice is increasing in both frequency and the cost of drugs used with an average of 40% of high risk patients now being put on antifungal drugs while the incident rate of infections is typically 2% to 5%. A negative result from T2Candida may provide timely data allowing physicians to avoid or suspend unnecessary anti-fungal treatment. This could result in a further reduction of treatment cost as well as potentially helping to reduce anti-microbial resistant organisms, which the Centers for Disease Control and Prevention has called one of our most serious health threats. T2Candida is just our first diagnostic panel utilizing T2MR and we’ll touch on our first product pipeline programs T2Bacteria and T2HemoStat later in the call. All of our products are covered using existing reimbursement structures and we plan to market our products in the United States with a direct sales force. With that as background, I move on to Q3. The third quarter of 2014 was incredibly productive in terms of corporate activity, infrastructure build and finally our preparation for commercialization. We successfully completed an IPO raising about $58 million and listed our Company’s stock on the NASDAQ Exchange. We received the foundational FDA clearance in CE Mark for both our technology platform, the T2Dx and first diagnostic panel T2Candida. And we achieved the FDA milestone on a compressed and rapid timeframe. Upon FDA clearance, we activated our U.S. commercial team and turned on our marketing efforts as we seek to make those initial key placements in the coming months. Before Marc summarizes the Q3 results and comments on our outlook, there are a few items where I’d like to provide some color. First, the FDA market authorization we announced in September was an important milestone and a real tribute to all of the employees and partners that worked tirelessly towards that goal. The rapid 117 day period from FDA filing to clearance is also a clear signal from the FDA that they understand the urgent need for a fast sepsis diagnostic and are willing to work in a transparent manner and move quickly through their thorough review process, when there is technology that can make a big impact on public health. We view their market authorization as an important day for all of the physicians across the country in need of faster diagnostic results, so they can make timely and informed treatment decisions for their patients. We believe the diagnostic capabilities offered by these products and those in development can support both improved clinical outcomes as well as strong health economic benefits. And we look forward to working closely with the medical community to bring this novel diagnostic panel to hospitals, physicians and patients. I’ll cover our commercial plan and metrics in a moment, but at this point, I’ll turn the call over to Marc Jones for a quick rundown of the financial results. Marc?
Marc Jones: Thanks, John. As John indicated, we made excellent progress in the third quarter in terms of our milestones and infrastructure build. The Q3 and nine months results reflected investment of resources commensurate with those efforts. But those costs were well in line with anticipated levels and we are confident that we’ve established a disciplined cost conscious culture and we'll continue to manage to spend well. As expected, we did not record revenues for this year’s third quarter and first nine months. In last year’s third quarter and first nine months, we recorded $91,000 and $211,000 of research and grant revenue respectively, which primarily consisted of revenue related to feasibility studies. Total operating expenses for the third quarter and first nine months of 2014 were $7.8 million and $21.8 million respectively, compared to $4.6 million and $14.3 million for the 2013 periods. The increases in operating expenses are mainly associated with the direcT2 pivotal clinical trial and other regulatory support and activity, research and development activities for additional applications of T2MR, expansion of our marketing programs, build-out of the U.S. commercial infrastructure and increases in share-based compensation charges and incremental expenses related to being a public company. The net loss for this year’s third quarter was $8.8 million after adjustments for accretion of redeemable convertible preferred stock or $0.71 loss per share compared to a net loss of $6.6 million or $4.69 loss per share for last year’s third quarter. The increased loss was principally due to the increase in operating expenses, which I just covered. For the first nine months of the year the net loss after adjustments for accretion of redeemable convertible preferred stock was 26.9 million or $5.25 loss per share, compared to a net loss of 19.2 million or $13.82 loss per share for the first nine months of 2013. Loss per share calculations for each of these periods reported were impacted by the overall increase in common shares outstanding resulting from our August 7th, 2014 initial public offering. Specifically for the third quarter of 2014, we had 12.4 million weighted average shares outstanding reflecting the conversion of preferred shares and issuance of new common shares as part of our IPO in August. For the first nine months of the year, we had 5.1 million shares outstanding. For the fourth quarter of 2014 which will be the first full quarter that includes the conversion of the preferred shares and the issuance of new common shares in the IPO, we anticipate having approximately 20 million weighted average shares outstanding, which will then net to approximately 8.7 million weighted average shares outstanding for the full year 2014. The company’s balance sheet as of September 30th, 2014 had total cash and cash equivalents of 75.6 million, which included $9.8 million in proceeds from July 11, 2014 debt facility net of deferred financing costs and approximately $58 million in net proceeds from the August 6, 2014 initial public offering. In addition to the cash in the balance sheet, we are able to draw an additional $20 million from our debt facilities through June 30th, 2015. We anticipate total Q4 operating expenses to grow in the range of 15% over Q3, largely driven by the growth of our commercial infrastructure and by continued investments in research and development. And with that, I’ll turn it back over to John.
John McDonough: Great, thanks Marc. Before we turn it over for Q&A, I’d like to spend a few moments discussing our commercial plans and the metrics we believe will be most important to measuring our progress as we move through the coming months in the whole of 2015. As I mentioned, we were very pleased with the timing of the FDA decision, which may have been a record for a diagnostic product going through the de novo process. We believe that the agency’s timely action indicates an understanding of a need that exists in recognition of the quality data from our FDA pivotal trials that stands behind the T2Dx instrument and T2Candida diagnostic panel. We believe that T2Candida is the first diagnostic that can identify species specific blood infections directly from blood and without the requirement of a blood culture. With FDA clearance in hand, we get a jump start in our sales and marketing efforts that keeps us on track with achieving our goals over the coming 12 to 15 months. We anticipate ending 2014 with seven direct sales professionals will be targeting the top 450 hospitals in the United States, two sales reps joined us in August and five more will be joining the team by the end of this month. The top 450 hospitals represents about one third of the overall estimated $1.3 billion T2Candida market opportunity in the United States. With this concentrated patient base, we’ll be laser focused on those 450 hospitals and plan to grow the sales force to 15 sales reps by the end of 2015. Looking forward, as we indicated during the IPO process, our goal is to make placements in 30 or so of these high volume hospitals by the end of 2015. We will work very closely with our initial customers so we can provide them with maximum support and implementing the platform while we worry how to streamline the implementation, clarification and other processes within each hospital. Later in 2015 and as we enter 2016, we expect to have built a solid foundation of reference accounts and establish an understanding of how we can enforce the adoption of our products and the success of our customers. We will then replicate that business model to accelerate the size and scale of our customer base to drive significant revenue and growth. In terms of how those placements occur, we anticipate the ramp will start modestly as our sales force is small and our selling efforts do not commence until we received FDA clearance. We expect that 60% or more of the initial 30 contracts will likely occur in the second half of 2015. When we close the contract with the hospital, we anticipate it will take three to six months to install and verify the performance of the T2Dx instrument. This is completely consistent with the time frames realized by other diagnostic platform when they are initial installed. We further anticipate that it could take an additional six to 12 months for a customer to wrap the testing all of their high risk patients as they most likely will start by testing a segment of the high risk patient population. We estimate the average annual revenue per hospital could be as much as a $1 million among the top 450 hospital accounts, if they were to test all of their high risk patients. In order to building conservatism, our business model assumes that each of these large customer accounts will grow to $600,000 in annual T2Candida revenue when fully rolled out. In addition to the 30 hospital accounts we expect to close by the end of 2015, there are several other key metrics that we plan to report to you each quarter. Those will include the number of hospital contracts signed, the number of those contracts that have transitioned to active placements or those that are installed, verified and are now testing patients. And finally, we plan to report the average revenue per hospital once that number becomes meaningful, probably by mid-2015. We do not plan to report specific T2Candida per test average selling price, because it could put us in a difficult position for contracting discussions. I can say that list price for T2Candida is above $250, the high end of the range discussed during our IPO. While we are only about six weeks into our sales and marketing efforts, we are pleased with the high level of interest in our products and the sales pipeline that is growing. During the third quarter, we attended the ICAAC conference in Washington DC, and attended IDWeek in Philadelphia in October. Booth traffic was very high and T2Candida was a hot topic in many of the conference sessions. At the ICAAC conference in a symposium not run by T2 Biosystems, over 300 people were polled on what diagnostic test they would use for symptomatic patients in an intensive care unit. We were delighted to see the T2Candida won the poll, exceeding even blood culture. We feel very much on track and expect to close our first hospital contracts early next year. We continue to see a growing level of interest from third parties who are interested in working with us to develop new applications based on the T2MR platform. We are being highly selective in this process, but see collaborations as one way to pursue the many application opportunities for T2MR without having to do it all ourselves. You should expect to see small revenue levels related to these opportunities going forward, which will likely relate to research projects that we pursue. But some of these opportunities could turn into significant product opportunities. We’ll report on these opportunities as they move from research to full scale development projects when appropriate. During the third quarter, we continue to make progress on the development of our next two products, T2Bacteria, focused on detecting bacterial targets associated with sepsis and T2HemoStat, an instrument in diagnostic panel that will deliver critical hemostasis measurement in 20 minutes or less, initially targeting the screening of trauma patients. These development efforts are on track with the timelines we discussed during the IPO with T2Bacteria on track to enter a FDA pivotal trial in the second half of next year and T2HemoStat on track to enter an FDA pivotal trial in the first half of 2016. We estimate that our total addressable market including T2Candida, T2Bacteria and T2HemoStat is over $3 billion. With that, I’ll turn the call over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Kevin Chen of Leerink. Please go ahead.
Kevin Chen: I'm sitting in for Dan Leonard today. A lot of my questions have been addressed. And to reconfirm that initial product sale revenue will probably be recognized somewhere in mid-2015, is that correct?
John McDonough:  Yes, that’s correct. We would expect to see first product revenue in potentially as early as the first quarter of the year.
Kevin Chen: And could you maybe comment on the competitive environment of the sepsis market? Has there been any new entrants in the space?
John McDonough:  No new entrants in the space. We really do not have any direct competition vis-a-vis doing a testing directly from a blood sample. The only other alternatives for species specific identification of these pathogens are all based on blood culture itself. And blood culture as you know takes a minimum of two days as much as five or more days to get a result. It always takes five days to get a negative result, but if a blood culture bottle goes positive there are other products based on PCR, mass spec and other approaches that can deliver the species specific results anywhere from an hour or two to a couple of days. We don’t really view that as direct competition at all, because our value proposition is really different, it’s independent of blood culture, it’s specific for fungal pathogens today. And we’re delivering the results from three to five hours which changes the therapeutic decisions in a very rapid manner.
Kevin Chen: And then just one more thing, for the T2Bacteria, will the turnaround time be similar to Candida like three to four hours?
John McDonough:  We’d expect it to be very comparable to T2Candida. The T2Bacteria product is different probes, there are some nuances, but generally speaking it’s very similar comparable assay work flow to what we’re doing with T2Candida.
Operator: Thank you. [Operator Instructions] Our next question is from Paul Knight of Janney Capital Markets. Please go ahead.
Bryan Kipp: Hi guys. This is actually Bryan Kipp on behalf of Paul. My first question, I think you guys gave a little bit of color on pricing and that right now you think your list price is north of 250. Can you go into why you are thinking north of 250? What kind of changed your view in the near-term? What kind of conversations were you having that resulted in that adjustment?
John McDonough:  Yes, so, during the IPO road show we talked about a $150 to $250 a test. As we have concluded our market research, what’s really driving the pricing of the product is the economic value of the test. And the economic value of the test has really been confirmed through the discussions we’ve had at this point even with prospects, where you could price in the order of $800 a test and slightly different by institution. And the hospital system would breakeven, remember all of the patients that are being tested or covered under DRG codes, so importantly we often go get reimbursement and the value of the test it’s price based on the economic value of the test itself. It’s generally understood that a hospital would expect a vendor to take 30% to 35% of that economic value, when you do the math and all of that, it all points to a price that’s slightly north of that $250 price point which is where we’re started.
Bryan Kipp: And is there any anecdotes you guys have had since the authorization with certain hospitals, large payers or regionals that you think would be worthwhile to discuss anything that you thought was incrementally positive or something they didn't think about that would be important to highlight?
John McDonough:  Yes, for sure most of what we’re seeing and we’re now I think day 43 into our commercialization effort, not that anybody’s keeping track. But what we’re really seeing is confirmation of what we really believe and what we have seen through all of our work prior to FDA clearance. I think the most exciting thing for all of us is that in all of the interactions that we’ve had with hospitals, and this continues really on a daily basis, we haven’t even had a neutral reaction from anybody. It’s all quite positive. And high degrees of interest in all places now going from interest to through the sales cycle and through the contracting process, we all know that takes some time. But it is, as the product is being met universally with a lot of anticipation and excitement and understanding of the value that it can bring to hospitals and more importantly the patients.
Bryan Kipp: Are you seeing discussions kind of evolve away from just a single test utilization for patient to maybe multi-test utilizations maybe on the backend to confirm it was speciesation and the removal of the bacterial or fungal infection?
John McDonough: Yes. We’re definitely seeing a high degree of interest. We enter this modeling to business assuming one test per patient. We’re definitely going to see more than that. For positive patients there is going to be a lot of monitoring those patients using the T2Candida panel and so all of that has been quite positive.
Bryan Kipp: And two quick ones last for me. The bacteria panel, I know it is still a little ways away, but when can we expect some additional color on the potential for gram negative, gram positive, and kind of the portfolio? Is it a post pivotal trial, or do you think you can give color ahead of that?
John McDonough: I think it’s likely that where we have the opportunity to do so as we did with T2Candida we had all sorts of poster publications of data as we went through the process. And to the extent that those opportunities surface over the next 12 months, we’ll certainly do that. We did have a poster presentation at a conference this year on some of the species in the bacteria panel demonstrating limits of detection all below 5 cfe per ml.
Bryan Kipp: And just quick one to fit in here, actually I will get back in the queue and see if anybody else has additional questions. Thanks.
Operator: Thank you very much. The next question is from Steve Beuchaw of Morgan Stanley. Please go ahead.
Steve Beuchaw: So I think thus far the questions have been directed to John. Marc one for you following up on the comments, the very helpful comments, around the outlook for next year, I wonder if there are any basic parameters on operating expense that you could speak to into 2015? And then John, I had a couple for you as well.
Marc Jones: Great questions Steve, thank you. As we noted in the prepared remarks, Q3 was a very busy quarter with many activities, growing our commercial infrastructure, continuing investments in R&D. And so, we anticipate seeing OpEx in Q4 grow in the range of 15% over Q3. And we’d expect to continue to grow as we move into 2015. And I anticipate we’ll provide trends and relate to those expenses as we move through 2015.
Steve Beuchaw: Okay. And then let`s see, John, I think one of the questions that potential customers will have as they think about the pricing on the test is what kind of real world evidence do you have of the utility of the test? And so I'm sure you have plans in place to work with some of the early customers and development partners to develop data to help give potential customers a view of the cost-savings based on real world analysis. Could you maybe speak to the plans there for those economic analysis based on real world data?
John McDonough: We have done work with a marketing economics firm and you should expect to see some publication probably within I’ll say three to nine months as one can never control the timing of a publication where they take not just published literature but actually go into real price book wholesale pricing and [indiscernible] supply the private data from our pivotal trials of that data and drive the economic value of our test. That will be an important highlight. One of the important outputs of that work and that’s often independently done by this firm, one output of that is that we have all the data where our sales force can now go into hospitals and plug in a hospital’s real data, how many Candida patients do they see, high risk patients, what drugs are they putting on, what percentage, what price do they pay for drugs. And we can in real time with that hospital build an economic model to show the value of testing those high risk patients. So that will be number one. Number two, there is a number of studies that are underway. And this will be an ongoing part of T2 for years, frankly, but we have another four studies underway getting more and more clinical data from independent sites comparisons of T2 to blood culture, showing T2 in the measurement T2Candida measurements in the presence of patients on antifungal drugs, testing pediatric patients, all those sorts of things that will lead to publications, some of which we should see in 2015 perhaps we’ll see most of them in 2015.
Steve Beuchaw: Got it. And the last one from me building on the comments on the outlook for 2015 and the 30 contracts, I wonder if some subsets of the let's call them IDNs some bigger networks where it might be possible to have multiple instruments for hospital or hospital network? And that's it from me. Thanks again.
John McDonough:  Yes, absolutely. I would expect during 2015 that IDNs would be a part of that group of initial adopters, so yes it’s the short answer.
Operator: Thank you. The next question is from Isaac Ro of Goldman Sachs. Please go ahead.
Isaac Ro: I know it’s early, I think you said 43 days into the sales cycle here, but I'm hoping to get anecdotes from you in terms of what you’ve learned so far? And specifically interested in getting a sense of the number of touch points in some of your early target accounts that you are going after and is it more or less in line with your expectations? So, what I mean by that is sort of the number of decision makers is given the importance of sepsis across an institution the number of people you are dealing with are trying to get to sign off on an early adoption?
John McDonough:  Yes, great question Isaac. Everything today is very conformational of the touch points and call points during the sales cycle. We’re certainly talking to lab directors and infectious disease docs, we’re also talking to Chief of Critical Care and often folks on the transplant side as well. That was all anticipated, everything very consistent in terms of what we’ve seen and what was expected, that typically we’re certainly seeing that there are champions that form the champions quickly form on the infectious disease side almost always, we’re seeing champions forming in critical care and on the lab side as well. So the process is moving great, we haven’t seen any blockers or surprises. As you said we are 43 days into it and so the number of data points is in the 10s, it’s certainly not in the 100s and it’s all moving exactly the way we would have hoped and we look forward to the next 90 days and we’ll know a lot more when we’re on this call in February.
Isaac Ro: And maybe if we just look at sort of this overall capital budgeting environment, we are obviously towards the year-end here for most hospitals. And has the overall budgeting dynamic that you are working against more or less been in line with your expectations for your target accounts?
John McDonough:  It has. We’re seeing -- we expect to place our instruments either on reagent rental or through capital sales. We had said on the road show, we expected 80% reagent rental 20% capital sales. I would say anecdotally, it’s falling right in line with what we’re seeing right now that 80-20 feels about right, although it’s still early to be conclusive with that. And the issue of budgets and getting access to funds has not been a blocker yet, so I don’t have much to add on that.
Isaac Ro: And then just the last question would be I think if we look at the path into 2015, there is obviously I think an early question about potential for IDNs and some of these sort of new structures within the healthcare system to have an influence on adoption of new technology. Do you see that being a material tailwind next year? We are digesting the first year of the ACA and hopefully seeing a little bit more focus on cost containment and all of these aspects that are probably secular trends to the system? Do you see that being a material enough tailwind to actually influence adoption of your technology in 2015?
John McDonough:  I think it is. I think all of that helps the more focus there is on economics and there is a tremendous amount of focus on that, I think it really helps us. The tremendous overuse of drugs we’re seeing that in our discussions in that overuse of anti-fungal drugs as we’ve said before 40% on average are being put on anti-fungal drugs and some institutions there is as much as three weeks, they keep patients on anti-fungals even if they get negative blood culture results in some cases because they don’t trust the negative blood culture result because blood culture doesn’t perform well in the presence of drugs. And not only is that an economic problem, but the other thing we’re definitely seeing in some of our discussions is the concern around resistance in hospitals in how the overuse of drugs can affect the overall performance of a hospital. So I think all of those trends bode very well for us in terms of what we’re trying to accomplish here over the next 12 months to 15 months.
Operator: Thank you. The next question is from Paul Knight of Janney Capital Markets. Please go ahead.
Bryan Kipp: So two quick follow-ups. One was on the IMS Health. I think that was the consultant firm that you guys are outsourcing some of the data mining to. The three month to nine months horizon, I guess I was under the impression it was going to be through the back half of this year. Is this in line with your expectations? Or do you think there is a few things where it will push it out to ‘15 more likely than toward the end of ‘14?
John McDonough:  No, nothing’s changed there, probably if there was any discussion about this year, it would have been when something would be submitted it has been submitted. It’s more just a question. We would never try to predict when something will actually get published, because you just don’t control that. Sometimes it can take three months to six months to be accepted and it can take three months to six months to then have it published after it’s accepted. And sometimes that happens fast, sometimes it happens in 90 days, that’s a really fast when that happens.
Bryan Kipp: And then the last one for me is just the ramp in sales force that you guys said going from I think two you had to potentially [indiscernible] by the end of the month or nine by the end of the month was seven -- sorry five at the end of the month incremental adds. What kind of profiles of the people that you guys are hiring, who you are drawing from? Is it people who've been in the industry for 10, 15 years, younger people that are ramping up just kind of the profile of who you are hiring and who you are keying in on.
John McDonough: Yes. So it’s more in the 10 to 15 years of experience as people who have sold capital sales experience that sold in the labs. We are really excited about the sales force and the team that we’ve been able to bring onboard early on. We’re looking forward to getting second sales school going here, actually it will be next week with five additional people, two people who’ve already been through with. And we're a little bit ahead where we thought it would be right now in terms of the size of the sales force and that was really just driven by the opportunity to hire what we believe are some real A players who want to be part of the team.
Bryan Kipp: Are a lot of these people coming from larger firms and looking as a great opportunity, or are you see a lot of people coming tangentially?
John McDonough: Yes, I’d say it’s mostly larger firms looking for the next big opportunity.
Operator: Thank you. We have no further questions at this time. I’d like to turn the floor back over to management for any closing remarks.
A - John McDonough: Well, we appreciate everybody dialing in today, exciting to get our first call behind us. We look forward to reporting back in the coming weeks. And we’ll talk to you all after the first through the year.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.